Operator: Good afternoon, everyone, and thank you for joining OptimizeRx First Quarter Fiscal 2025 Earnings Conference Call. With us today is Chief Executive Officer, Steve Silvestro, he's joined by Chief Financial Officer; Ed Stelmakh; Chief Legal Officer, Marion Odence-Ford; and Senior Vice President of Corporate Finance, Andrew D'Silva. At the conclusion of today's call, I will provide some important cautions regarding the forward-looking statements made by management during today's call. The company will also be discussing certain non-GAAP financial measures, which it believes are useful in evaluating the company's operating results. A reconciliation of such non-GAAP financial measures, is included in the earnings release the company issued this afternoon, as well as in the Investor Relations section of the company's website. I would like to remind everyone that today's call has been recorded, and will be made available for replay, as an audio recording of this conference call on the Investor Relations section of the company's website. I would now like to turn the conference over to OptimizeRx CEO, Steve Silvestro, Mr. Silvestro, please go ahead.
Steve Silvestro: Thank you, operator, and good afternoon to everyone joining today's first quarter 2025 call. I'm delighted to share our first quarter 2025 results, which came in ahead of both consensus estimates, and our internal expectations. Momentum from Q4, has continued into 2025 with Q1 revenues increasing 11% year-over-year to $21.9 million, with adjusted EBITDA coming in at $1.5 million, an improvement of nearly $2 million year-over-year during what is typically our seasonally weakest quarter. Moreover, our contracted revenue continues to increase to more than 20% year-over-year, which positions us favorably going into the back half of the year. I believe this is a clear indicator that our focus on operational excellence, while ensuring we delight our customers and forge stronger relationships, with valued business partners is bearing fruit. In addition, despite media coverage in the market related to initiatives being implemented, by the new administration, we are not seeing significant headwinds directly impacting our business at this time, and we are closely monitoring pharma leading indicators, by continuously engaging with our clients. With that said, I'm happy to say we are increasing our guidance for the year, and are looking for revenue to come in between $101 million and $106 million, with an adjusted EBITDA to be between $13 million and $15 million. We believe that the combination of disciplined cost management, and targeted upselling strategies centered around educating customers on budget allocation approaches that drive script lift, has positioned us strongly for success in 2025 and beyond. This progress is bringing our goal of achieving Rule of 40 performance in the coming years, well within reach. Additionally, we are seeing early momentum in our transition to a subscription-based model, with over 5% of our projected annual revenue already converted, to subscription contracts for 2025. Before moving on, I want to take a moment and thank our market-leading team. We deeply appreciate the dedication, and hard work of everyone at OptimizeRx, as we navigate an increasingly complex dynamic, and the still emerging digital pharma marketing landscape. The industry is undergoing a significant shift, and our products and services are poised to fundamentally reshape how pharmaceutical companies, patients and prescribers engage. Our mission-driven culture, not only fuels this transformation, but also positions us to attract, retain and strengthen the critical relationships a leading technology company needs to be a trusted and enduring partner. We believe OptimizeRx is uniquely positioned, to drive significant value creation and deliver long-term sustainable shareholder growth. By leveraging one of the largest point-of-care networks in the country, we enable pharmaceutical manufacturers, to reach healthcare providers directly at the point of care. Building on this foundation, we have combined our unmatched network with a purpose-built omnichannel technology platform with leading patient finding capabilities, through DAAP and micro neighborhood targeting that, is redefining how pharmaceutical companies, physicians and patients engage, receive and digest information, ultimately helping to improve patient outcomes. These advantages give us a distinct, and durable competitive edge. With unrivaled reach at the point-of-care and directly to consumers, we believe we are the only company in the industry capable of effectively connecting with both doctors and patients at scale. This unique position has allowed us to develop, the broadest suite of solutions in the market, empowering us to meet the diverse and evolving needs of our customers across every stage of the product life cycle. As mentioned on our last call, our business continues to evolve. A key focus for the company, will be drawing greater attention to our reach and scalability, while positioning ourselves as a strategic partner in addressing some of the most critical commercialization challenges facing pharma today. These include improving brand visibility, reducing script abandonment, enhancing interoperability and supporting a growing shift toward more complex, and costly specialty medications. I'm confident that success in these areas, combined with the strong performance we are already delivering, including ROI exceeding 10:1 and script lift of 25% on programs running just six months, will drive significant short and long-term shareholder value. Moreover, this momentum will position us to capture greater market share, while also expanding the overall size of pharma's digital spend, which already exceeds $10 billion annually. Our customers remain deeply embedded within our ecosystem of offerings, and it remains our goal to help them stay present throughout the patient care journey, across the integrated HCP and DTC business at OptimizeRx. And with that, I'd like to turn the time over to our CFO, Ed Stelmakh who will walk us through our financial details. Ed?
Edward Stelmakh: Thanks, Steve, and good afternoon, everyone. As with all our calls, the press release was issued this afternoon with the results of our first quarter ended March 31, 2025. A copy is available for viewing, and may be downloaded from the Investor Relations section of our website, and additional information could be obtained through our forthcoming 10-Q. First quarter 2025 revenue was $21.9 million, an increase of 11% from the $19.7 million we recognized during the same period in 2024. Gross margin for the quarter decreased from 62% in the quarter ended March 31, 2024, to 60.9% in quarter ended March 31, 2025. Year-on-year change in gross margin was primarily due to product and channel partner mix, as we did see an increase in DTC related managed service revenue. Our operating expenses for the quarter ended March 31, 2025, decreased $1.8 million year-over-year, primarily driven by stock-based compensation and cost savings implemented last year. The company had a net loss of $2.2 million or $0.12 per basic and diluted share, for the three months ended March 31, 2025, as compared to a net loss of $6.9 million or $0.38 per basic and diluted share for the three months during the same period in 2024. On a non-GAAP basis, the company's net loss for the first quarter of 2025, was $1.5 million, or $0.08 per diluted share, as compared to a non-GAAP net loss of $2 million, or $0.11 per diluted share in the same year ago period. Meanwhile, our adjusted EBITDA came in at $1.5 million for the quarter, compared to $0.3 million loss during the first quarter of 2024. Operating cash flow came in at $3.9 million for the first quarter, and the cash balance at the end of the quarter was $16.6 million, as compared to $13.4 million on December 31, 2024. Our debt balance currently stands at $33.8 million, and we paid off $6.2 million of principal through the first quarter of 2025. Given our strong working capital position and operating cash flow, we are confident in our ability to fund our operating needs, as well as key strategic priorities to achieve the Rule of 40. Our committed contracted revenue as of the end of the first quarter of 2025, exceeded $70 million, which is a greater than 25% improvement over the same period last year. This is a testament to all the investments that have been made in building market-leading solutions that meet, and exceed our clients' expectations and positions us well, to continue our march towards becoming a Rule of 40 company. Now let's turn to our KPIs, for the first quarter of 2025. Average revenue per top 20 pharmaceutical manufacturer now stands at approximately $3 million, with these top 20 companies representing 63% of our business in Q1, 2025. Net revenue retention rate remains a strong 114%. Meanwhile, revenue per FTE came in at $710,000, topping the $641,000 we posted in Q1, 2024. We are encouraged by our continuous improvement in our KPIs, and the overall progress in the business performance so far. And with that, I would like to turn the call back over to Steve. Steve?
Steve Silvestro: Thank you, Ed. Operator, let's go ahead and move to Q&A.
Operator: Thank you. [Operator Instructions] The first question comes from Ryan Daniels with William Blair. Please go ahead.
Ryan Daniels: Guys, did you hear the question?
Steve Silvestro: No, we couldn't hear the question. Sorry. Sorry about that.
Ryan Daniels: Thanks for taking the question and congrats on the strong performance. And I hate to ask this, because you've increased your guidance and said you're not seeing anything, but - by far, the biggest question we keep getting, is just all the noise in the end market with tariffs and with price negotiations, et cetera. I'm curious how real-time your feedback is from your sales team. And number two, if you've seen any hesitation in any of your customers, or if they're just not, at this point, making any changes because it's so uncertain in the marketplace today? Thanks.
Steve Silvestro: Thanks for the question. We've not seen really any pullback from our clients. We are getting real-time information and updates, as we're kind of daily dealing with them. What we have seen really is just a leaning in, and trying to drive a little bit harder at these markets. Jury is still out on how things will be impactful going forward into the future and how things will be rolled out. But right now, no indication of any sort of pullback in the business at all. We actually see the opposite, people leaning in trying to leverage digital channels, a little bit more than before. And I think that - the other thing to look for is just, I would say, the cost effectiveness of digital versus some of the other channels that they use to promote. And if they get in a cost-cutting sort of state, we'll probably see some of the other things ratchet back faster than digital. You may see even more acceleration in our favor, if they go down that road. But yes, to date, nothing really to panic about.
Ryan Daniels: Okay. No, that's super helpful color, actually. And then, can you remind us when you move to subscription-based revenue upon removal, how does that, impact kind of the revenue recognition over a 12-month period in the margins. Does that - just I'll leave it there, how does it really impact margins in rev rec, if we think about the total revenue?
Steve Silvestro: I'd be more…
Edward Stelmakh: Grab it and ask....
Steve Silvestro: Oh, go ahead, Ed, you take it. Go ahead, yes.
Edward Stelmakh: Hi, Ryan. Yes. Basically, I mean, it's relatively simple. It kind of spreads your revenue over the 12-month period. It takes the dollars associated with subscription-related solutions, and services and spread is over the course of the year. It's actually accretive to us, because of the revenue share perspective. We kind of keep most of that revenue to ourselves, and the cost of sales for their revenue is pretty low.
Ryan Daniels: Okay. Okay. I just want to confirm. And then you mentioned, I think, the direct-to-consumer managed services kind of mix diluting gross margins a little bit. How should we think about the gross margin profile of the company going forward? Is that kind of low 60% range still the right target? Or might you see more growth there that pushes it slightly below that? Thanks.
Edward Stelmakh: Yes, we're certainly working on trying to increase that above the low 60% mark. But right now, our kind of makeup of our portfolio, is such that when we do have some solutions that, are a little bit lower on the margin side, you will see that sort of a dilution. The good news is we're diversified enough where none of our solutions really, will have an impact that material at this point. So we feel pretty comfortable with the current range.
Steve Silvestro: Okay. Yes. Ryan, so what we've historically talked about is a high 50% range, to the low to mid-60% range for gross margins. And so, first quarter was well within that range.
Ryan Daniels: Okay, perfect. Thanks a lot, guys. Appreciate it.
Steve Silvestro: Yes. Good to hear your voice, Ryan. Thanks for the questions.
Operator: Thank you. The next question comes from David Grossman with Stifel. Please go ahead.
David Grossman: Thank you very much. I think in your prepared remarks, I think, Steve, you said that - or maybe it was add that you had $70 million in committed revenue. And I assume you're speaking to visibility on the year, and that was up 25%. So just back of the envelope math, does that suggest that you've got a little over - about 70% visibility today at this point in the year versus 60% last year? Did I get that right?
Steve Silvestro: Yes. Yes, you're in the ballpark. It's north of 80% where we currently sit. That's what's in the prepared remarks. And you're in the ballpark, David.
Andrew D'Silva: So what was being said in the prepared remarks was at the end of the first quarter, so end of March, that's where we stood. What Steve just said was where we're at right now
David Grossman: But just on an apples-to-apples basis, it sounds like you're up about 10 points at the end of March, in terms of visibility on the year, right?
Edward Stelmakh: Well, we're actually up about 25% from last year. Yes, on the committed backlog as of the end of Q1, which is what's given us so much optimism by the year.
David Grossman: Got you. And then in terms of the amount, or how much more revenue we can convert to subscription kind of just think about it over the balance of the year. How should we think of how that 5% may migrate?
Steve Silvestro: Yes. I mean if you think about it. Sorry, I've got a delay. Go ahead, Ed.
Edward Stelmakh: Yes. And basically, if this works out the way you're planning and the way we hope, the subscription revenue will convert into next year, and we'll have some legs in the following several years. So versus what we had in the past, where most of our revenue was one year in tenure or less. Hopefully, subscription will have a little bit more of a life cycle to it. We're hoping current percentage will continue to grow and expand, and it will smooth out our revenue recognition over time.
Steve Silvestro: You can think about - David, you can think about it in terms of all of the DAAP business and the audience business. So all the components of data, both from the legacy Medicx business that's producing audiences, as well as the data business coming out of DAAP. So those two components are what have the potential for subscription-based revenue. So that's the component that we can push on. The transactional components of the business will continue to be transactional over time. And so that's kind of the target. That would be the high watermark. And what you're seeing now is early signs of good progress against the conversion and prosecuting that work, but we still have a lot of work to do on that. We did want to report out on it, because it's substantial, considering that we've been at it for a little bit more than a quarter, and made some - good progress on it, but lots more work to do there, lots of wood to chop.
David Grossman: So thanks for that. Steve. Can you just remind us how - what percentage of revenue is represented by the data business?
Steve Silvestro: We don't break it out that way. We were breaking out sort of a DAAP and core stuff for a bit, but we can circle back and give you a little bit better view. We haven't broken it out to date that way.
David Grossman: Got it. And then just one last one from me. I know it's a modest kind of decline. But anything to call out on, what may be impacting the NRR sequentially?
Andrew D'Silva: Yes, I can take that question. So that - we talked about this on the last call. So it's a trailing 12-month look. So now we're running into trailing 12-month comps year-over-year that have the benefit of Medicx acquisition. And so, as you go more into time, there's just more Medicx revenue on the year-over-year comps. So it becomes less favorable of a year-over-year comp on NRR. That's all.
David Grossman: Got it. All right guys, nice job. Thanks very much.
Steve Silvestro: Thanks David, Great to talk to you.
Operator: Thank you. The next question comes from Richard Baldry with ROTH Capital. Please go ahead.
Richard Baldry: Thanks. Just back to the NRR, I'm sort of curious, is there any further headwinds in the second half? And the reason I ask is the top line guide at the high end would be 15% growth, and your NRR is 114%. So essentially accounts for the upper end of revenue guide. So I just want to make sure I know this, nothing else as an incremental headwind in the second half?
Andrew D'Silva: NRR, like we said on the last call, back of the envelope would end up around 100%, by the end of the year, right, based on our guidance. So call it 5% to 15% of our business every year comes from new logos. And so obviously, NRR, the maximum you grow if you went - grew 15% would be an NRR of 115%. So if 5% to 10% - or 5% to 15% of our business comes from new logos. By the end of the year, you'll be about 100%. So we made the acquisition in October of 2023 of Medicx. So it's a trailing 12-month look-back comparison. So even at the first quarter of 2024, the trailing 12 months there, we didn't have a full year of Medicx as a reported entity.
Richard Baldry: Got it. And when we look at the OpEx side now, it has come down pretty substantially. So is this a pretty good run rate on a go-forward basis? How do you think about your leverage on OpEx as the top line grows?
Steve Silvestro: Yes, I can take that. I think the OpEx we had about $5 million out of it last year, as you know, about the fourth quarter, right? So we're at a good, I think, run rate now. We don't really need to take more out, and I don't think we'll need to add more. So I think what we've demonstrated here is feel free...
Richard Baldry: It's Richard. I think Steve was breaking up a bit on my end.
Steve Silvestro: Yes. I broke up a little at the end.
Richard Baldry: I think I got I'm curious, in terms of new business, can you talk about sort of how RFP season played out on the DTC side, and how you view sort of new wins on that side of the table? And then I think you gave the number last quarter of paying DAAP deals was 48 versus 24 starting the year. I'm not sure if you're willing to update that number, or just talk generically about new wins on the DAAP side?
Andrew D'Silva: Yes. I can take the DAAP question. So we're - just given it's such a large percent of our business right now, for competitive purposes, we're no longer breaking out like how many deals, were getting or anything like that. That was just really to show initial adoption. And then, I mean, Steve can give a little bit more detail on the DTC side of the business, but both parts of the business have been performing well this year, and are contributing to our increased guidance.
Steve Silvestro: Yes. Just to sort of double down on that, Rich, hopefully, you can hear me okay. I'm not sure where the signal was cutting there for a second. But DAAP continues to perform at the same speed as it was before. So everything is sort of in line. As Andy said, we're not going to count the number of deals just, because competitively, we're not wanting to disclose that. But in addition to that, I think what we can safely say is we've seen a strong DTC recovery in the fourth quarter, and into the first quarter of this year. And we anticipate that that acceleration will continue for the DTC component of the business.
Richard Baldry: Great, thanks.
Operator: Thank you. The next question comes from Maxwell Michaelis with Lake Street Capital Markets. Please go ahead.
Maxwell Michaelis: Hi guys, thanks for taking my question. Great job on the quarter. When we look at Q2, now we're about halfway through now, should we expect typical seasonality Q1 to Q2 pretty much flat? Or are you seeing demand here more outsized demand here in Q2, and we should expect sequential growth. I know you guys didn't give quarterly guidance, but maybe directionally, you can help? Thanks for taking my question.
Steve Silvestro: Yes, sure. Happy to do it, Maximum and thanks. Andy, why don't you take that one?
Andrew D'Silva: Yes. We would expect a small step-up sequentially. First half of the year revenue is typically between 35% and 45% of full year revenue. I think, we're in a pretty good pace, compared to historicals.
Operator: I hope that answers your question.
Maxwell Michaelis: Yes.
Steve Silvestro: Great.
Operator: Thank you. The next question comes from Constantine Davides with Citizen. Please go ahead.
Constantine Davides: Thanks. I just wanted to maybe drill into the pipeline a little bit more, and kind of what you're seeing there. Is it bigger on an absolute basis year-over-year? Maybe talk a little bit about your win rates changing relative to what they were last year? And then maybe just some commentary on average deal size, and if you're having any success with double-barrel sales. I know I just threw a lot at you, but just kind of curious if we can get a little more color on kind of what's in the pipe?
Steve Silvestro: Hi, Constantine, good to hear from you. I'll give the first couple of answers and then ask Andy to chime in. But basically, pipeline continues to grow at a steady rate. I think we feel confident with where it is. We continue to convert, I think, at a good pace, but our conversion ratio has become better. We're finding that we're winning, particularly with the data and subscriptive component of our business. We're winning more as our audience quality has improved, and our data has been better. So that's been helpful and we've seen those pieces of the business go. And then, Andy, Ed, feel free to chime in on the other components, but I just wanted to call those out. And sorry, guys, for the quality of the audio. I not sure what's going on, on the call side. But Andy, Ed, anything else to add in there for Constantine?
Andrew D'Silva: Yes. We're not going to break out average deal size, or anything like that anymore. But I think Steve hit the nail on the head.
Constantine Davides: Okay. And then just one more follow-up on the subscription. Are those - are the subscription deals multiyear? Are they just sort of one-year evergreen arrangements?
Steve Silvestro: Right now, they're one-year evergreen arrangements. The goal would be to get them to multiyear status, but that's kind of difficult to do, Constantine, in this space, because marketing basically ascribes dollars on a yearly and an annual basis based on previous year's full year performance. So it's going to be difficult to do three-year, four-year, five-year deals. So for right now, we're looking at 12 months, and scaling as many of those as we can. As time progresses, if we can get that data component of the business to two and three-year deals, that will be an enormous win for the business.
Constantine Davides: Understood. And then I guess this last one for Ed. On the guidance, should we assume that the high end of revenue correlates with the high end of EBITDA? Or does it sort of - is there some dynamic here, where you're investing more to get to the top end? Just trying to understand that? Thanks.
Edward Stelmakh: Yes. So it's less about investing more to get to the top end. We feel pretty confident that with the backlog build up, and some of the tailwinds we're experiencing now that, we will get to that number. Really, the hedge there is around gross margin. The mix of solutions is one thing that is not appreciable. So we're probably betting on a little bit of a more considerable number on the gross margin side of the business, with OpEx more or less been kind of set for the year.
Operator: Thank you. The next question comes from Jeff Garro with Stephens. Please go ahead.
Jeff Garro: Yes, good afternoon. Thanks for taking the question. Wanted to follow-up on the visibility topic and the roughly remaining 20% of revenue that, you need to land for the year. Could you discuss what needs to be landed in terms of renewals, or upsells or adding new logos? Thanks.
Steve Silvestro: Yes, I'm happy to take that one and then let Ed and Andy chime in as well, but - and thanks for the question, Jeff. So as Ed said, we've got greater than 80% contracted revenue on the backlog for the full year. So that gives us good visibility into where we're headed. Basically for what we need to do for that component, the delta is really just delivery over time, which will happen organically as we prosecute these programs. The delta between what we've contracted and where we need to go is sort of the difference between the guidance, and the visibility that we've got, and are at the top end of that guidance and the visibility that we've got. And so what needs to happen there is just conversion of the pipeline very simple. And the pipeline, like we - like I responded to Constantine is very healthy right now. So I think we're feeling confident in that. Ed and Andy, anything else you want to chime in on?
Edward Stelmakh: No, I think you've got the gist of it. I would just say, again, pipeline is building. We constantly look at the quality of the pipeline. We're staying on top of operational execution, as we said at the beginning of the year. So there's definitely a very strong hyper focus on making sure that we have conversion that, takes place within the quarter to drive that revenue earlier. So we feel pretty confident that we'll be able to get that remaining 20% and some this year.
Jeff Garro: Understood. Appreciate that. And one more from me, maybe back to the topic of gross margins and the mix involved there. I was hoping you could help us understand a little bit further the progress you've made on conversion, to data subscriptions and the benefits there and the comment about the gross margin percentage in the quarter, being down a little bit year-over-year from an increase in managed services. So maybe it's really around the appetite for customers, to kind of rebound demand for that managed service offering versus it going one way towards data subscriptions? Thanks.
Steve Silvestro: Go ahead, Ed.
Edward Stelmakh: Yes. Look, I mean we have a portfolio now that's diversified now that was built around meeting and exceeding customer needs. In some cases, we'll need to take some business that is lower margin. But really, the focus for us as a company, is to continue to build out the higher-margin side of the business. And that's exactly what's happening. Our current gross margin profile is right there where it needs to be. And we feel like as the year goes on, we should see more and more of the expansion take place. And certainly, as part of the Rule of 40 kind of ramp-up, margin expansion is part of the equation.
Steve Silvestro: Jeff, I'd also add to that, part of what we're trying to capitalize on is a flywheel effect within the business, right? So in order for us to be able to do that, we've got to grow that subscriptive data component of the business, which, as Ed said, it will positively impact the gross margin over time. There's no rev share with that. It's intellectual property that we own. But in addition to that, it will unlock the ability to distribute more messages, and transactions across the entire network as we plug into that. And so, we're laser-focused on driving those audiences, and that data as a key component of our business. So you'll expect to hear more updates, from us on that as we go.
Jeff Garro: Great. Thanks again for taking the questions.
Steve Silvestro: Yes, great questions. Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Silvestro for any closing remarks.
Steve Silvestro: Yes. Thank you, guys. No closing remarks. We can go ahead and close out the call.
Operator: Thank you, Mr. Silvestro. Before we conclude today's call, I would like to provide the company's Safe Harbor statement that includes caution regarding forward-looking statements made during today's call. Statements made by management during today's call may contain forward-looking statements within the definition of Section 27A and the Securities Act of 1933 as amended and Section 21E of Securities Act of 1934, as amended. These forward-looking statements should not be used to make investment decisions. The words anticipate, estimate, expect, possible and seeking and similar expressions identify forward-looking statements. They may speak only to the date that such statements are made. Forward-looking statements in this call include statements regarding our growth plans, plans for shareholder value creation, becoming a Rule of 40 company, transitioning to a subscription-based model, achieving our goals to help patients stay present throughout the patient care journey across our integrated HCP and DTC businesses, initiatives being implemented by the new administration, cost management, targeted upselling, estimated 2025 revenue and adjusted EBITDA range, estimation of total addressable market size, market penetration, technology, investment, growth opportunities, acquisition and upcoming announcements. Forward-looking statements also include the management's expectations for the rest of the year. The company undertakes no obligation to publicly update, or revise any forward-looking statements, whether because of new information, future events or otherwise. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Future events and actual results could differ materially from those set forth in, contemplated by or underlying these forward-looking statements. The risks and uncertainties to which forward-looking statements are subject to include, but are not limited to, the effects of government regulation, competition, dependence on a concentrated group of customers, cybersecurity incidents that could disrupt operations, the ability to keep pace with growing and evolving technology, the ability to maintain contracts with electronic prescription platforms and electronic health records networks and other material risks. Risks and uncertainties to which forward-looking statements are subject could affect business and financial results are included in the company's annual report on Form 10-K for the year end December 31, 2024, and in other filings the company has made and may take with the SEC in the future. These filings when are available on the company's website and on the SEC website at sec.gov. Before we end today's conference, I would like to remind everyone that an audio recording of this conference call will be available for replay starting later this evening, running through for a year on the Investors section of the company's website. Thank you for joining us today. This concludes today's conference call. You may now disconnect your lines.